Operator: Good afternoon ladies and gentlemen. Thank you for standing by. Welcome to the TTM Technologies, Inc. second quarter 2008 conference call. During today's presentation, all parties will be in a listen-only mode. (Operator instructions) This conference is being recorded today, July 29, 2008. And now, I would like to turn the conference over to Mr. Alder, CEO of TTM Technologies. Please go ahead.
Kent Alder: Thank you, Nicole. And good afternoon, and thanks for joining us for 2008 second quarter conference call. I'm here in Santa Ana with our CFO, Steve Richards. I think as many of you might know we had a little earthquake just before noon today. Everything is fine, I don't think there is any damage in the area in general that I've heard, and for TTM in particular there is no damage, no consequences whatsoever. So we're just continuing to march forward. Now before I get into any details, let me mention that during the course of this call we will make forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, fluctuations in quarterly and annual operating results, the volatility and cyclicality in various industries that the company serves, and other risks described in TTM's most recent SEC filings. The company assumes no obligations to update the information provided in this call. Also you'll note in our press release issued today that we provide GAAP and non-GAAP financial information, specifically with reference to EBITDA. The reconciliation between GAAP and non-GAAP information is provided in the press release. Now with that, let's turn to the results for the quarter. And before I turn the call over to Steve to review the numbers in detail, I will provide a quick overview of the business. We continued our long history of delivering solid financial performance with the aerospace and defense end market showing continued strength, coupled with the solid demand for our high-tech manufacturing services. Our results demonstrate the success we are having as we work to improve our margins. On a segment basis, Printed Circuit Board Manufacturing continued its strong contribution to the company. Second quarter net sales, this is before intercompany sales, were $149.6 million compared with $148.7 million in the first quarter. Second quarter operating segment income before the amortization of intangibles was $17.8 million. This compares with $19 million in the first quarter, excluding a $3.7 million benefit from a metal reclamation recovery. Price per panel increased 3.9% sequentially, due mainly to a shift in product mix, while panel production declined by 2.7% sequentially. For the Backplane Assembly segment, second quarter net sales, and again this is before intercompany sales, were $31.2 million compared with $32.6 million for the first quarter. Second quarter operating segment income was $2.2 million compared with $2.7 million in the first quarter. Now let's look at the end markets. We serve four end markets. Networking/communications, aerospace and defense, computing storage peripherals, and then the fourth end market is medical/industrial and instrumentation. Our main drivers this quarter continue to be the networking/communication and the aerospace and defense end markets, which together accounted for more than three-quarters of our net sales. As usual, networking and communications was the largest end market this quarter accounting for 40% of net sales, down from 42% in Q1. This decrease was due primarily to the decline in sales in our Backplane Assembly segment, as well as some slight softness in the networking portion of this end market. The aerospace and defense end market increased from 34% of net sales in Q1 to 36% in Q2. We saw sequential increases with many of our aerospace/defense customers, and we were particularly pleased to shift the first production orders to the Thermal Weapon Sight program that BAE awarded us in April. This program should be a significant revenue contributor for the rest of 2008. The computing/storage and peripherals end market remained roughly flat. As a percentage of sales, this end market decreased from 12% of net sales in the first quarter to 11% of sales in the second quarter due to lighter orders from a few server manufacturers. The medical/industrial/instrumentation end market increased to 13% of net sales in the second quarter from 12%. This diverse group of customers delivered solid results across the board, with particular strength coming from a few of our instrumentation customers. Our top five customers comprised 29% of second quarter net sales. They represent a strategic mix of commercial and aerospace and defense customers. No customer represents more than 10% of sales in the second quarter. In alphabetical order, our top five OEM customers were Cisco, Honeywell, Huawei, ITT and Juniper. Now let's discuss our technological and operational capabilities. The average layer count of our printed circuit board in the second quarter was 13.7 compared to the first quarter average layer count of 14.2. Boards with more than 20 layers represented 27% of second quarter sales compared with 29% of sales in the first quarter. Quick-turn as a percentage of revenue, increased to 13% in the second quarter up from 11.8% in the first quarter. Lead times held roughly steady from the first quarter. Lead times for our commercial customers range from four to six weeks, while lead times for our aerospace and defense customers are six to ten weeks. At the end of June, our printed circuit board book-to-bill ratio was 1.0. That compares to the IPC book-to-bill ratio of 0.94. As we expected, we remained above the industry average. As you can see, we are very pleased with our industry-leading performance for the quarter. This challenging economic environment, our performance is a testament to the dedication and commitment of the entire TTM team. We are financially sound with the recent convertible debt offering expanding our cash position and facilitating growth opportunities in the future. Now I will let Steve review our financial performance for the second quarter and discuss our outlook for the third quarter.
Steve Richards: Thanks Kent. TTM reported solid results for the second quarter of 2008. As you know, during the quarter we completed a successful convertible debt offering, which had an impact on both the income statement and balance sheet, which I will discuss as we go along. Strong demand, especially from the aerospace/defense and market, fueled second quarter net sales of $173 million, which was in line with our guidance and reflects a slight decrease from first quarter 2008 net sales of $174.1 million. Second quarter gross margin of 21.1% declined from first quarter gross margin of 21.6%, but slightly exceeded the high-end of our guidance range. Gross margin for the second quarter reflects our ongoing focus on operational efficiencies. You may recall that we attributed much of our first quarter gross margin improvement to higher levels of work-in-process inventory, which had increased significantly at number of our plants toward end of the first quarter. The second quarter, however, WIP inventory declined by about $1.3 million, yet second quarter gross margin remained above 21%. Selling and marketing expense for the second quarter was $7.8 million, or 4.5% of net sales. This is relatively consistent with first quarter selling and marketing expense of $7.7 million, which was 4.4% of net sales. Second quarter G&A expense, including amortization of intangibles, was $9.8 million, or 5.7% of net sales, due primarily to increased incentive compensation and stock based compensation expense. This compares to Q1 G&A expense, including amortization of intangibles, of $9.2 million, or 5.3% of net sales. Total operating expenses for the second quarter were $17.5 million compared to first quarter total operating expenses of $13.2 million. You may recall that during the first quarter we recorded a reduction in operating expenses of $3.7 million to a metal reclamation recovery. Absent this reduction expense, Q1 operating expenses would have totaled $16.9 million. In the second quarter, we incurred stock-based compensation expense of $1.5 million; 66% of the expense was recorded in G&A, 26% in cost of goods sold, and 8% in selling and marketing. Second quarter operating income of $19.1 million compares to first quarter operating income of $24.4 million, which includes the $3.7 million metal reclamation recovery I discussed a few moments ago. Second quarter other expense was $4.1 million, as compared to $1.6 million in the first quarter. In May, we issued $175 million in convertible debt and used some of the proceeds to pay off the remaining balance of our term loan. The increase in interest expense is due primarily to a $1.9 million write-off of the remaining debt financing costs on the loan that we repaid. We also incurred a $1.2 million expense to unwind the interest rate hedge related to the term loan. We recorded this as an offset to interest income and other net. Our effective tax rate in the second quarter was 36.7%. Second quarter net income of $9.4 million, or $0.22 per diluted share, was in line with guidance and compares with first quarter net income of $14.4 million, or $0.34 per diluted share. The metal reclamation recovery in the first quarter accounted for about $0.05 of the diluted earnings per share. Amortization of the remaining financing costs and unwinding of the hedge reduced second quarter diluted earnings per share by about $0.04. We continue to maintain a very strong balance sheet and cash flow and a very manageable debt position. Cash and cash equivalents at the end of the second quarter totaled $118.7 million compared with $32.6 million at the end of the first quarter. The substantial increase in cash is primarily due to the successful debt offering the company completed during the quarter. Cash flow from operations was negative $7.8 million for the second quarter due primarily to an increase in deferred tax assets arising from the Call Spread on our convertible debt, as well as a net use of cash for working capital purposes. Net capital expenditures were approximately $5.5 million and depreciation was $5.3 million. Looking ahead to the third quarter of 2008, we project revenue in the range of $163 million to $171 million and earnings in a range of $0.19 to $0.25 per diluted share. The gross margin percentage of the third quarter is expected to be in the range from 19% to 21%. We expect that selling and marketing expense will be approximately 4.5% of revenue and G&A expense, including amortization of intangibles, will be approximately 6% of revenue. Interest expense for the third quarter should total about $1.6 million, including $200,000 of amortization of deferred financing costs on our convertible debt. We expect interest income of approximately $600,000. Interest expense is declining primarily because the fixed 3.25% interest rate on our convertible debt is less than half the 7% to 8% rate on our former floating rate term loan. We expect our tax rate in the third quarter of 2008 to be approximately 37.3%. With that, let's open the call to your questions.
Operator: (Operator instructions) Our first question is from the line of Amit Daryanani with RBC Capital Markets. Please go ahead.
Amit Daryanani – RBC Capital Markets: Thanks, good afternoon guys. Just a question, I guess, looking at the guidance, midpoint it looks like things would be down about 3%, 4%. Could you just talk about sequentially what are you seeing in end markets that's driving that softness?
Kent Alder: That's a good question Amit. Just let me review maybe the end markets. The networking/communications – really we're seeing some seasonality there in that end market with some slight, I would say softness, maybe that is related to networking equipment and so forth. So when you get some of the seasonal pressures and softness in the networking related equipment, plus the slowdown in Shanghai from our backplanes, which are predominantly networking/communications, we're seeing just some issues with that end market going forward. There is nothing significant, I mean, really no big changes, but just a few tweaks in that that maybe related to the lower forecast. Our aerospace and defense, which went from 34% to 36%, that's pretty solid. I mean, we see that segment continuing to grow. Backlogs are strong, and that looks like that will continue into the third quarter. The computing/storage and peripherals, which is down 1%, that continues to be, I guess one area where there's a little more softness than, say the other end markets. Although it's pretty steady, there's some little seasonality there and a little softness, but still pretty solid. Medical/industrial/instrumentation, broad customer base, there's a little more churn in there between customers but overall the order patterns seem fairly steady. So, again some seasonal softness, but no major issues. So just a few tweaks here and there on the networking end markets mainly related to seasonality, and some issues with Shanghai back panels associated with kind of one-time events around the Olympics, and then maybe some softness with network-related products.
Amit Daryanani – RBC Capital Markets: Kent, that's extremely helpful by the way. And then, if I could just maybe look at the gross margin line too, it looks like we are looking at things being down about 100 basis points, 110 basis points sequentially. I would imagine in September we would see a little bit of uptick in quick-turn and that should have actually helped the margins out. A, could you talk about maybe why that's not happening, and B, is the margin delta or downfall purely because of the revenue issues, or there is something else we should be aware of?
Kent Alder: I think when we look at a gross margin, and you kind of tied that into quick-turn. You noticed our quick-turn went up his quarter from 11.6 – 11.8 to 13. So it's interesting that quick-turn went up in kind of our non-traditional quick-turn divisions. So, I think as we look into the next quarter coming up, there is some upside for quick-turns. And the issue is – when our top line is going down because of some of these other factors and some of the leverage involved, that to some degree overcomes some of the increases that we will see on the positive side. Now this is our forecast, if we have some – if these positive things hold in there, and seasonality decreases faster than normal and there's a lot of one-time kind of events in here with kind of Shanghai and so forth, the quarter is shaping up pretty good. And certainly when we look out into the fourth quarter, we feel more positive about the fourth quarter than the third quarter.
Amit Daryanani – RBC Capital Markets:
Kent Alder: That's a good question. It's a question we get every quarter. We continue to work really hard to find the right company in Asia, and we are constantly evaluating all acquisition opportunities, not only in Asia but also here in the United States. It's clear to us that right now we think the best opportunity, return on our investment, would be to become a global company. That's always been part of our strategy and we continue to work towards that end. We don't have any update at this time. I think you know that we are very selective, we are patient. We are prudent, but we are also working hard to get that to happen. But it's a long-term decision. We want to make sure we make the right decision. I'm confident that at some point we will have that – be able to execute on that objective of becoming a global company. And I think the one thing that maybe takes us a little longer is we want to buy well-run companies that fit our technology, fit our business, so it takes some time to find the right companies. We are continuing to move forward, but we don't have any progress update.
Amit Daryanani – RBC Capital Markets: Fair enough. Thanks a lot, and glad to see the upgrade had no real impact to you.
Operator:
Kevin Kessel – JP Morgan: I just wanted to just a follow-up on your comments around the Shanghai facility. Is there a way you could help us understand what the potential impact is in terms of, given the topline from specifically maybe from the back panels? And then maybe you could parse that out from the networking softness that you have described that you are seeing now.
Steve Richards: I can take on the China piece Kevin. Basically, we expect to see the Backplane Assembly operation down about $2 million, $2.5 million probably in the third quarter, primarily due to softness in China. There's been a lot of press both about the Olympics and about this China Telecom convergence. Both those things are playing a role in the third quarter. As you know, the pace of growth with a key networking customer for us in China has been pretty significant for the first half of the year. Obviously China has been kind of growing very aggressively as a country over the course of the first half of this year. I think that growth is coming to a bit of the slowdown in the third quarter due to the Olympics. So a lot of orders were accelerated in the first half of the year from those Chinese customers. That's benefited us in the first half of the year, kind of caused a little softness in the third quarter. And also this whole China Telecom convergence towards the TS-CDMA platform and kind of around the 3G interface too, is causing some kind of uncertainty on the order patterns for the customers that we support there. So, I think once the three China Telecom companies sort out which piece each one is going to be getting and they start placing orders with our key customers there, we'll see an upsurge in orders after that. I think that will probably be in the fourth quarter and the first half of next year. That's the China piece of it. And I think you also want to talk more about the networking – broader, is that right?
Kevin Kessel – JP Morgan:
Kent Alder: Kevin, it's interesting, as Steve was talking I was just reflecting back on our – on the Backplane division. Since we have owned that division it seems like every quarter we are explaining that orders are really good, and there has been some delay in orders, so it's kind of – you noticed there's a lot more choppiness in that Backplane section. And when I looked at the end markets in the fourth quarter, the networking/communications was 42%, and then the first quarter it was 40%. Now we are going back and forth there a little bit, and I think it's mainly a lot of timing on the orders. But the softness we are seeing in networking is probably on the same magnitude dollar-wise that Steve was talking about with regards to the Shanghai operation. And then we've got some overall slowness in a few specific customers. The aerospace and defense business is kind of making up for some of that slowness. I think in the third quarter when you look at the description that Steve just explained with Shanghai, some of the specific softness in networking and with these other customers – my sense is that that is temporary in nature. And that the third quarter we will see an end in some of those things and we can pickup hopefully towards the end of the third quarter. Maybe we can do a little bit better than what we talked about here. It's a little bit hard for us to see right now, but certainly I think these are nothing long-term in nature, but just events that we are dealing with in the third quarter that we are hoping will be behind us and the march forward again in the fourth quarter. And even with these events that we are talking about, even at the level midpoint of our guidance there, it's still at a pretty good level that we are clipping along here.
Kevin Kessel – JP Morgan: Are they telling you anything, though, the specific customers outside of Shanghai, the ones that you are seeing some slowness from, are they pointing to anything in particular, like are they saying there's a particular build-out that they are waiting on, or they are being delayed because the Olympics, are there – or is it just macro-economy, or are they not saying anything?
Kent Alder: They are really not saying anything Kevin. And I wouldn't comment, I just – the way we judge that is we look at our orders and we look at order rates and we look at these programs that we are associated with. And a lot of times the programs we are associated with could be booming while our end customers could be saying a little the slow and vice versa. So it's really particular to us on some of the networking softness that we are seeing now. If that ties in with what some of the other comments are being made, that's fine. But we are looking just particularly at TTM and order patterns here.
Kevin Kessel – JP Morgan: I got it. And then just in terms of cash flow, Steve, working capital was a little bit of a use of cash in this quarter and you mentioned some reversals there, I think you said on the tax side?
Steve Richards: Yes. Remember we talked on our last call about the convert offering, how we put in place a Call Spread strategy overlying the convert that actually raises the effective conversion price. There is a tax benefit. There's a cost involved in putting that Call Spread in place, but also a tax benefit we derive from that. So, obviously we used cash to put the Call Spread in place and recorded a concurrent sort of a tax asset of $13.7 million for that Call Spread strategy. So over the course of the seven years of that convert's life, we will get a benefit from that deferred tax asset. So depending [ph] on the use of cash in cash flow from ops of $13.7 million this quarter. So that's the biggest single kind of detriment to cash flow for the quarter. We also had, as you probably saw from our schedule, a $4.6 million increase in inventory, and we also had a net use of cash for accounts payable of $4.5 million. So those two working capital changes of about $9 million, and the increase in deferred income tax assets of 13.7 kind of hurt our cash flow for the quarter. Certainly the income tax impact for the deferred tax asset, it was a one-time thing and what would not recur in the third quarter.
Kevin Kessel – JP Morgan: So that's what I was just going to ask. That's not going to reoccur. And then when you look at the second half, I think last call I believe you commented that you thought kind of cash flow from operations in kind of $18 million to $20 million range was kind of a normalized level to think about. That’s still the case?
Steve Richards: Yes. If you add back these items, you would get to about $15 million to $16 million in operating cash flow. So I think we saw some usage of cash in inventory this quarter, about $4.5 million. Part of that was an increase in raw materials, primarily in our assembly operations for aerospace/defense customers, key programs like the Thermal Weapons Sight program we announced earlier this quarter. We saw some inventory increase there. We also saw some increases in finished goods inventory, so I think both those things will be – I think finished goods inventory will probably reverse out in the third quarter, and we will probably see some of that raw increase come down as well. So, I think will see probably cash flow from ops for inventories in the third quarter as well as kind of not having this one-time impact from the deferred tax asset.
Kevin Kessel – JP Morgan: And from CapEx perspective you guys are undershooting your budgets I think for the year by a little bit?
Steve Richards:
Kevin Kessel – JP Morgan:
$:
Operator: Thank you. Our next question is from the line of Matt Sheerin with Thomas Weisel Partners. Please go ahead.
Matt Sheerin – Thomas Weisel Partners:
Kent Alder: No. They haven't decreased Matt. I think the bookings have just kind of continued on into this month at the same rate that we exited the quarter on. We don't have those numbers. We are just ending the quarter actually today. So we don't have any numbers to talk about for the month of July. But I don't believe there's been much change.
Matt Sheerin – Thomas Weisel Partners: And lead times, what are lead times now?
Kent Alder: Lead times are link – again, not much change. Four to six weeks in our commercial divisions, and 6 to 10 weeks in kind of the higher tech aerospace divisions.
Matt Sheerin – Thomas Weisel Partners: It sounds like you expect some seasonal uptick – of course visibility is limited for everyone here. It sounds like you expect some seasonal uptick. But you are not at the point where, for instance, at Chippewa you had some layoffs, sort of temporary furloughs a year ago. It doesn't sound like you are that alarmed by what you're seeing that you would take those kinds of actions.
Kent Alder: Exactly right. Right now, looking at all of our divisions along those lines, I think there's nothing being anticipated along those lines at all.
Matt Sheerin – Thomas Weisel Partners: At some of your larger customers, particularly in North America, given some weakness of some competitors, have you seen any market share gains against those competitors with some of those customers?
Kent Alder: I think with our footprint in our specialized facilities, again our business model I think allows us to provide our customers with a good product and a lot of value added. And we are in a very strong position here. So, I think when you look at our book-to-bill always being greater than the industry, and talking about our report on topline growth and so forth, I think we are gaining market share.
Matt Sheerin – Thomas Weisel Partners: How is pricing holding up relative to last quarter? And then as a follow-up, if you could talk about materials costs, and any headwind that they continue to present?
Kent Alder: Our pricing on a per-panel basis went up 3.9% in the second quarter. That was mainly due to product mix. And when you look at our work, product mix was coming from three different directions. We have a higher level of technology now with more sequential lamination, blind and buried vias, we had a higher mix of aerospace and defense, and our quick-turn mix went up. All of those things spoke to higher per-panel pricing. From a market perspective, I think pricing is stable. I don't think it's moving one way or the other, it seems pretty flat here. On the cost side of things, we are seeing just some increases that are I guess spotty in nature. There are no general increases. It all seems to be based around energy type costs, so overall some just very slight increases, spotty in nature, nothing major, centered around energy and freight. Freight costs are going up. Now some of those costs, if you move into the Backplane division on some of the components we buy, some of those costs have gone up. We are able to pass those on to customers. But there are some limitations on timing, meaning we have some yearlong, six-month type contracts. We have to wait until those run out. But overall cost trends seem to be relatively stable, just spotty or scattered in nature.
Matt Sheerin – Thomas Weisel Partners: And lastly you talked about your inventory up a bit in the quarter. Do you have any visibility into your customers' inventories, particularly whether the EMS or OEMs on – would be board type of inventory that they might be carrying, and does that have anything to do with a little softness in the order patterns we are seeing?
Steve Richards:
Matt Sheerin – Thomas Weisel Partners: Okay, thanks a lot.
Operator:
Shawn Harrison – Longbow Research: Hi, good evening. A few housekeeping questions, just looking at the G&A number you put out there, Steve, it looks like it's picking up a little bit on a dollar basis sequentially on top of percentage. Is there something going on there that could trend up over time?
Kent Alder: This quarter we actually had a significant amount of stock-based comp expense in G&A increasing over first quarter because the restricted stock unit grant we gave to our employees was done almost very last part of March. So we had basically three days of expense in the first quarter, and 13 weeks in the second quarter. That accounts for about $400,000 or so of the G&A increase. We also had this quarter a decrease in our bad debt expense reflected from old A/R that benefited us this quarter. That's part of the reason why we're seeing an increase next quarter in terms of absolute dollars of about $200,000 to $300,000. So, the increase in Q2 over Q1 is largely stock-based comp related. The increase in Q3 over Q2 is largely due to the fact that we have some one-time benefit from bad debt expense this quarter. We don't expect it to incur benefit again next quarter. Is that clear?
Shawn Harrison – Longbow Research: That helps out a lot. Secondly, just going back to the raw material question, given that it's spotty right now are there any indications that maybe something can come along in the fourth quarter that you guys would have to deal with, or none of those conversations are being held?
Kent Alder: There are no conversations along those lines, Shawn. And I don't think there's anything major that would happen. A lot of the kind of price increases on the cost side have already – are already behind us. And I think it's nice to see the oil price come down, and so that's a sign – a step in the right direction. But there are no major issues that we will have to deal with.
Shawn Harrison – Longbow Research: And then just one maybe last question on the back panel business. I know we talked about – you talked about Shanghai earlier, maybe if you could just talk about what you are seeing in North America here in the business.
Kent Alder: Shanghai, like you referenced there, it's growing. We are quite excited about Shanghai and where that could go, particularly when you get through the third quarter here. Our Hayward division is more stable, and we are looking at – to try and refocus on a little more of a higher mix type product with a little more quick-turn, get some more specialties in there. But it's I would say fairly stable in Hayward. I wouldn't anticipate at this point a lot of growth in our Hayward division, but it’s, I guess the right word is, stable.
Shawn Harrison – Longbow Research: And then just a follow-up on backplanes in general. Since EBIT margins declined this quarter, should we expect another sequential decline in terms of the margin given the fall off in revenues? Or should we expect maybe kind of EBIT margins to hold steady in kind of the 7% range?
Steve Richards: I think EBIT margins should be pretty stable in Q3. Now that's kind of odd to say, given that revenue is going to decline in Shanghai, but remember, this business is not nearly as subject to kind of operating leverage as our PCB business is, because so much of the cost is already factored into materials. So I think given some of the puts and takes, maybe the Hayward operation in Shanghai in Q3, I expect EBIT margin to be right around that level for Q3 on a lower revenue base.
Shawn Harrison – Longbow Research: Thank you very much, very helpful.
Operator:
Jiwon Lee – Sidoti & Co.: Just one quick question. I'm not sure, Kent, if I clearly understood your update on Asian opportunity that you see out there.
Kent Alder: What I'm saying is this has been quite a long process with TTM. We have been looking for the right opportunity for a number of years now with making trips, talking with different companies, and we’ve eliminated many, many I guess what we originally thought would be opportunities. And so we have identified companies that we believe would be a nice fit for us, and we are in the process of having just discussions at this point. And when – as we try to move those discussions along, it just takes a little while to have the concept of becoming a global company solidify. And we are looking at all kinds of things with cultural fits and so forth. So, I guess – I know it was a little hard to grasp, because we don't have anything definite to talk about, but we are active, we are looking. We are just making sure we get the right opportunity. It's a long-term decision and it's a big one for our company. I think becoming a global company is clearly would provide a competitive advantage in the industry, and certainly would give us a nice return on any investment we make. So we need to make sure we get a nice well-run company, and that takes a little time. We are working hard, but at the same time we are selective.
Jiwon Lee – Sidoti & Co.: That's it for me, thank you.
Operator:
Kevin Kessel – JP Morgan: Just wanted to follow-up, Kent, on the comment you made about BAE and that program you were saying that you think it should be a significant program for the company, and continue I guess at the levels that it's currently at. Can you remind us, is BAE currently like a top 10 customer for TTM, or do you expect them to become that?
Kent Alder: They are a top 10 customer, and I think with this program they might stay – they'll certainly stay in the top 10. I don't know if that will be enough to break into the top five or not, but the program was awarded in April. It was about $8 million, and at some point there could be some follow-on orders depending on how that program goes with the government and so forth on the BAE side. So it's an announcement that we made to help keep investors informed. I think it helps with just an overall marketing of TTM, to let people know that we are active, that military is a big part of what we do. And the nice thing – I guess I'll digress just a little bit and tell you that this aerospace and defense has been a good end market for us. It's I think in the second quarter of 2007 it was 30%, and now we are up to 36% and it still remains strong. So, we are pretty excited about not only BAE but all the other programs and activities we have going on in the aerospace and defense.
Kevin Kessel – JP Morgan: And then in terms of, again just going back to the Olympic impact on the Shanghai side, when you guys look at forecasts now from the customers out there that are being affected, do you actually see in those forecasts some sort of indication that this is somewhat temporary, that it should rebound in the fourth quarter, or is it just your instinct?
Steve Richards: We are actually getting confidence in some of our customers that some of third quarter softness in Shanghai is indeed – that third quarter softness, and it will be bouncing back in the fourth quarter. Some of uncertainty we have is just how long it takes those three telecom companies to sort out who is doing what piece and so forth. But I think the Olympic impact is, the only part that's kind of a bit uncertain in the third quarter which is how many steps will the Chinese government take to ensure that the Olympics are conducted in a city that is not too polluted, and how much manufacturing will shutdown in the five-province area around Beijing. That's one of the reasons why we have some softness in our forecast that could wind up being better than we expect. But I think by and large, the softness we are seeing in the networking customer, the key networking customer in China is expected to be kind of back on track in Q4 I think.
Kevin Kessel – JP Morgan: And then just what about on the computing side because that was – I know it's a smaller segment, but that was the one that was down the most – significantly in the quarter that was just reported –
Kent Alder: In the computing side, Kevin (technical difficulty)
Kevin Kessel – JP Morgan: Hello?
Operator: One moment ladies and gentlemen, the conference will resume momentarily.
Kent Alder:
Kevin Kessel – JP Morgan: Yes. Kevin can you still hear me?
Kent Alder:
Kevin Kessel – JP Morgan: Did you hear the question that I asked about the computing?
Kent Alder: Yes. Is that where we left off, what's the question?
Kevin Kessel – JP Morgan: Yes, I assume so.
Kent Alder: Now I forgot the answer. I gave the answer but evidently nobody was listening. I think the question was again, back to the computing storage peripherals, and over the last couple quarters we trended down a little bit there. And in that end market – that is where more of a volume type product resides. In fact about 65% of that market is servers. So we get a little subject to more price pressure than we do in the other end markets. So there was a little seasonal softness in there that we think will come back, but I don't think the market is going to go up in a big way. So I don't think it will go down. But I think it will stay at a pretty good spot here, or the spot that it is at. One other thing, Kevin, it is that a lot of things we are talking about here, like the seasonality; we believe that will come to end sometime in this quarter. Certainly the Shanghai events that Steve's talked a lot about are kind of one-time particular to this quarter events that should be reversing out in the fourth quarter, and the softness that we see in the networking, and it's also just a slight softness. This is not major issues that we are talking about. But these things will all end. So we are looking into the future to have a brighter quarter, if you will.
Kevin Kessel – JP Morgan: Great. Thanks so much.
Operator: Thank you. Our next question is from the line of Amit Daryanani. Please go ahead.
Amit Daryanani – RBC Capital Markets:
Steve Richards: And the other piece was a $2 million increase in finished goods inventory, primarily in our Chippewa Falls plant, and that's mostly going probably also reverse out in the third quarter. So, I think we will probably see our inventory levels decline in Q3 and probably see it matching the cash flow for operations from that.
Amit Daryanani – RBC Capital Markets: Thanks a lot for that. And stock option expense was a little higher than what you have seen for the last several quarters. Should it kind of revert back to that 900,000 to 1 million range, or does it sit as 1.5 million range going forward?
Steve Richards: It's going to stay at 1.5 million going forward. Obviously, when we do this type of acquisition, we added many people to our stock option plan. We actually changed some options to restricted stock units last year (inaudible). But we give those awards out once a year in the first quarter, so we saw an increase in expense in the second quarter as a result of the late first quarter grant. And so I think we will still probably at $1.5 million for the next couple quarters because you vest those grants over the three-year life in a steady manner.
Amit Daryanani – RBC Capital Markets: Got it. And finally if I just go back to the backplane business, Kent you kind of talked about how revenues in orders have essentially been volatile for the last few quarters. Could you just update us on – I know you viewed this as a core part of your business. Does that remain the thought process of today, and is there room to do some belt tightening really in that segment to potentially boost margins?
Kent Alder: Amit, it's still a core part of our business, and like I mentioned the Shanghai has some pretty significant growth opportunities. We have learned a lot since we have owned the business related to backplanes and how to manufacture that. We are looking at how do we work Shanghai and Hayward more closely together to gain some efficiencies and keep our costs as low as possible. We are stabilizing Hayward into the fact that we are looking at – I guess becoming a more specialized type manufacturer with some specialty capabilities around the higher mix, a little more quick-turn, a little more engineering and so forth. And I think as we do that and work a little closer between the two facilities, I believe that that will provide a good solid opportunity to generate improved margins going forward. It's going to take a little time, but I think certainly the fundamentals are there that we can improve that.
Amit Daryanani – RBC Capital Markets: There really has not been any headcount trimming, especially in the Hayward side in Q2, has there?
Kent Alder: Yes. I think during the quarter we had a reduction in Hayward of about 36 employees. And that was to match the level of work that was coming in to us. Sometimes you get optimistic, and optimism doesn't happen and you have to adjust to make sure that the headcount matches the topline revenue. And so we had – we took action in the end of June, I believe, to right size that facility to match the topline.
Amit Daryanani – RBC Capital Markets: Got it. Thanks a lot.
Operator: (Operator instructions) We have no further questions at this time. Please continue with any closing remarks.
Kent Alder: We appreciate the interest in TTM. The questions were all good, and we enjoy the meetings we have together. We will look forward to the call next quarter. Thanks again for your interest. Good-bye.
Operator: Ladies and gentlemen, this concludes the TTM Technologies, Inc. second quarter 2008 conference call. We thank you for your participation, and you may now disconnect.